Operator: Ladies and gentlemen, thank you for standing by and welcome to the JLL Q1 2020 Earnings Conference Call. At this time all participants are in a listen-only mode.  Thank you. I would now like to turn the call over to your speaker today, Chris Stent, Executive Managing Director, Corporate Finance and Investor Relations at JLL. Please go ahead sir.
Chris Stent: Thank you, and good morning. Welcome to our first quarter 2020 conference call for Jones Lang LaSalle Incorporated. Earlier this morning, we issued our earnings release which is available on the Investor Relations section of our website, along with the slide presentation intended to supplement our prepared remarks. Please visit ir.jll.com.
Christian Ulbrich: Thank you, Chris. Good morning and welcome to all of you joining us today for this review of our first quarter result in these unprecedented times. Before we delve into our financial performance for the quarter, I would like to take a moment to offer our sympathy and support to all of those who have been touched by the pandemic. Further, on behalf of everyone at JLL, I would like to extend our tremendous gratitude to the healthcare workers, first responders and everyone on the front lines of this crisis. While the COVID-19 pandemic moves around the world, we at JLL continue to focus on what matters most and that is keeping our employees safe and productive, supporting our communities and serving our clients. In responding to the pandemic, we are partnering with clients and communities in many ways from local efforts to support healthcare operations, including rapid deployment of temporary facilities to participation in global collaborative projects. Among the global projects being coordinated by the World Economic Forum, we are participating alongside many other global businesses in WEFs COVID Action Platform. The impact of the pandemic has truly been profound. The government responses required across the globe and a general cessation of activity through all aspects of business. The effects of the pandemic on our company were initially concentrated in parts of China in January, and in later weeks spreading across a multitude of service lines and regions throughout the world. It is likely that this crisis will have significant repercussions on the global economy and on our industry, which will go well beyond this year.
Stephanie Plaines: Thank you, Christian and welcome to everyone on our call. Our first quarter performance is a reflection of our global footprint and our diversified business lines in the context of the spread of COVID-19. As Christian mentioned, the pandemic impacted China for almost the full quarter, while Southeast Asia and Southern Europe felt significant impact throughout March. Transactional activity in the U.S. declined progressively in the latter part of March and continued into April due to the spread of the pandemic. We are pleased with the solid start in the first quarter 2020. We achieved record consolidated revenue and fee revenue increasing 9% and 15% respectively. Real estate services fee revenue grew 16% reflecting organic growth of 5% and 11% attributable to M&A. Increases were achieved across all service lines led by the continued strength in the Americas. The HFF acquisition which closed in July 2019 complemented organic gains and reflects ongoing integration success. As a reminder, we report service line and segment results in local currency unless otherwise noted. Leasing fee revenue grew 4% for the quarter driven by the continued strength in the Americas. This was especially noteworthy considering global office leasing volumes declined significantly. For perspective the market dropped 28% compared to first quarter 2019. Our capital markets fee revenue increased 82% against first quarter 2019 reflecting resilience and excellent progress on HFF integration. Excluding the impact of HFF Capital Markets delivered 3% organic fee revenue growth. Corporate Solutions fee revenue grew 6% for the quarter driven by facility management wins and expansions in the Americas and Asia Pacific. Project & Development Services contributed to the growth albeit slower in Asia Pacific. We provided additional information on adjusted EBITDA on Slide 11 of the supplemental materials and I will touch upon the highlights. Adjusted EBITDA margin calculated on a fee-revenue basis was 6.4% for the quarter compared with 7.2% in the prior year. Strong organic gains in Real Estate Services and margin accretion from the acquired HFF business were more than offset by the impact of two notable non-cash charges that directly resulted from the pandemic.
Christian Ulbrich: Thank you, Stephanie. Now looking at the outlook for the rest of 2020. We are pleased to enter the second quarter in a strong position. Momentum within our Corporate Solutions business continued as we made strides with new mandates and renewals. Our Leasing and Capital Markets business were at record highs when the pandemic made its way across the world. A long history of JLL has taken us through many difficult periods. We don't know the extent of the market decline on the back of this crisis, but as in previous market downturns, we expect to win a disproportionate market share, which should cushion the impact on our financial performance. The depth and duration of the impact are uncertain, but our short-term assumptions show Q2 and Q3 as difficult quarters across all service lines and geographies. In addition to considering the short term impacts, we are mindful of the longer-term implications. We have taken a fresh look at the longer-term macro trends that have been supporting growth within the global real estate sector for several years. We believe these trends growth in corporate real estate outsourcing rising capital allocations to real estate, increasing urbanization and the tech-driven force industrial revolution will continue to be strong drivers for our sector, and our strategic vision for years to come. No doubt all of these trends will be impacted and there will be adjustments, but they will continue to drive our longer-term growth. We believe a fifth macro trend has emerged as a major driver within the real estate industry sustainability. This trend will benefit from an even stronger focus on corporate social responsibility post pandemic driven in part by greater awareness of the fragility of our society and ecosystem. JLL is an acknowledged global leader in sustainability services and advice, and we continue investing and building those capabilities consistent with our corporate purpose of shaping the future of real estate for a better world. Moreover, we are determined to play an exemplary part in the way we manage our own operations despite all the short-term attention to the impact of the pandemic. To that end, we were delighted that the science-based target initiative approved JLL's ambitious target for a 68% reduction in our carbon emissions by 2038 in line with our commitment to the Paris Climate Agreement. We are also very proud of the many awards and recognitions we received, including being named for the 13th year as one of 2020's World's Most Ethical Companies earning a place on the Bloomberg Gender-Equality Index and recognition by the Human Rights Campaign and Forbes for our commitment to diversity and inclusion. To close these remarks, I want to end by expressing my gratitude to the entire JLL team, who have witnessed significant upheavals in their personal and professional lives over the past several weeks as a result of this pandemic, yet have continued to work diligently and support each other and our clients through these trying circumstances. Throughout the history of our company, JLL has shown a remarkable capacity to successfully navigate through turbulent times and deliver excellent results for all of our stakeholders over the longer term. 2020 will be a challenging year for not only our business, but the world overall. Recovery might take longer than many would like. Nonetheless, we will continue to execute against our previously stated 2025 long-term growth targets. We remain confident in the strength and resiliency of the JLL platform and our ability to manage effectively in an environment built with uncertainty. Operator, please explain the Q&A process.
Operator:  Your first question comes from Anthony Paolone from JPMorgan. Your line is open.
Anthony Paolone: Excuse me. Thank you. I guess my first question is can you give us any color on how April looked and what you're looking at internally whether it's surveying brokers or data to get some handle on what 2Q and 3Q can actually work out today?
Stephanie Plaines: Hi, Tony this is Stephanie. So I think you heard in Christian's remarks we have seen obviously a very strong performance to date in our leasing and brokerage business particularly notable in the Americas, but we have seen as the pandemic rolls across a softening in that business and you see that with the market volume. So we don't have any further information to give you right now. What I can say is that, in terms of our Q1 results particularly in the Americas where we saw strength was particularly in our industrial business. And as you know in a pandemic, there's been a lot of demand on the supply chain. So we were very pleased with our performance in that specific sector, which we have about 25% of our total Americas leasing exposed to.
Anthony Paolone: Okay. I think you may have cut out on the tail end. But I guess, maybe asked a little bit differently, if we look back at the GFC and what happened to leasing and sales I mean, it took a period of time for things to unwind. But do you think that that's the order of magnitude we could be looking at in a more compressed period of time this go around?
Christian Ulbrich: Tony, it's Christian. I would caution to compare the GFC to the current situation. The GFC was predominantly causing or creating a lack of trust in the financial stability of banks, whereas we are currently faced with a virus which leads people to be afraid about their personal health and the health of their beloved ones. That is creating an enormous amount of uncertainty. And so the way that will impact the global economy and therefore then our clients, which then comes down to us is still very unclear. One of the big differences is within our business compared to the times in 2008, 2009, the industry has bifurcated in a way that you have a couple of companies, who are predominantly doing their business as strategic partners to their clients and less so with across the business. And those strategic relationships are kind of continuing to operate in good and in bad times. And so the overall resilience of a business like ours compared to 12 years ago is significantly higher, just due to these enhanced client relationships.
Anthony Paolone: Okay. And then just a follow-up on that, Christian you had mentioned that, all your business lines would be negatively impacted here. Can you talk a little bit more specifically about Corporate Solutions? And that seemed to show, a very good organic growth, in the first quarter. What would -- what are the levers to that, that would bring that number down, in this environment? Like is there a transactional piece, or like what are the puts and takes there, that we should be watching for?
Christian Ulbrich: Well. As you already noted, it is very much down to the question, whether something is related to transactional revenues or what we would call annuity revenues. Corporate Solutions is the headline for a series of services which include, transactional services like, the sale and leaseback of a corporate headquarter or a corporate building, down to very annuity-type services like facility management. And that's where you kind of have the differences and the impact. Our facility management business is incredibly resilient. And within that facility management business, the engineering part is the most resilient. Frankly, that is growing with many clients, at the moment because the maintenance of big equipment is being done early, because the premises may be vacant. And so the impact of that in maintenance is not as drastic, as it would be when they run at full scale. But then on the other hand, you have discretionary services, which people would just pause to kind of preserve on their liquidity. So overall we do not expect a massive impact on our Corporate Solutions business. But again, it's all down to the question, how long this pandemic will prevail. If it ends in a couple of months, there will be probably not any impact on our business. If it continues for 18, 24 more months, at some point in time more and more companies will be cautioned around their liquidity.
Anthony Paolone: Okay. And then just last one for me. You mentioned, the benefit to industrial and supply chains from the way the world is moving technologically. Can you comment on any thoughts you might have with work from home and the impact long term on the office business?
Christian Ulbrich: Well, there is a lot of opinions to be read -- or there are a lot of opinions to be read on what impact work from home will have longer term, on the commercial real estate business and especially on the office footprint. I would caution everybody to draw too many conclusions, at this point. In a crisis like this to work from home is easy because the alternative is not to work at all. But if we are back to a very normal environment, then you will see the difference in productivity. And I'm not talking about technology. A company like ours had no issue at all to send 90% of our people, into a home office technology work brilliantly. But still the interaction with your colleagues, the inspiration you're getting when you're working in an office, is driving better results compared to people sitting at home. And so, for most global companies working from home was something which was quite normal before. We had lots of people working from home, parts of the week. And then they came to the office or they were travelling. So we will go back to that. But I don't expect a massive, massive shift from people in an office to working from home in the future. Everybody has seen now that it can work. And that it is helpful, but they also have learned very immediately, the negative aspects from working from home. And so, I think we should see people be very happy to come back to the office. We recently made a survey amongst our own employees. And less than 5% were keen to work only from home. And the vast majority wants to get back into the office and have the flexibility to work sometimes from home.
Anthony Paolone: Okay. Thank you for that.
Operator: Your next question comes from Jade Rahmani from KBW. Your line is open.
Jade Rahmani: Thank you very much. And nice to hear from everybody, I hope you are all doing well. I wanted to ask hopefully a basic question, although I recognize the uncertainties. But do you think the company overall will remain profitable, for say the next two to three quarters?
Stephanie Plaines: Hi, Jade, this is Stephanie. So, obviously, as you saw as we went through the GFC, the company remained strong and profitable. As Christian said this pandemic is nothing like that. But we are doing everything, obviously, to manage the business. Our liquidity side or expense side everything that is discretionary to obviously maintain that profitability. I think what's important to emphasize is that a portion of our business is annuity based and the portion is transaction based. As you heard from Christian on our Corporate Solutions business there are areas of our business that continue to amplify and there are other ones, which we've prepared the works on that are softening. And it's happening in different parts around the globe. China went first. So you're seeing in Asia Pacific the most demonstrative impact on our top line. But you've also seen margins continue to improve. So if you look at our EBITDA results, I think that's the best testament right now of how we're planning to run the business through COVID. If you exclude the one-off two charges that I've mentioned, you'll see that margins have expanded across all the businesses.
Christian Ulbrich: Okay. Now this -- no doubt this crisis will have an impact on the bottom line. And So I'm sure you know that.
Jade Rahmani: Yes, of course. I mean, we are assuming about 35% declines in leasing volumes and something similar in capital markets. On the liquidity side, during the financial crisis the company maintained positive cash flow from operations. Do you expect that to be the case as well?
Christian Ulbrich: Again, the visibility is very poor going forward. And so I would like to refrain from commenting on that. We see what we see in April and you see how our first quarter went. First quarter went well and we are still smiling for the time being on May 5th. And what's happening over the next couple of months, we don't know. But we will do our very best to keep this company on that excellent level and financial strength as it has been in the past.
Jade Rahmani: And currently I believe there's $1.3 billion of available borrowing capacity on the credit facility, which matures in 2023. Is that correct?
Stephanie Plaines: That's correct, Jade. Yeah. So we have about 50% utilization as of Q1 of our credit facility. And our leverage ratio is about where we had expected. It's a 1.4, which is slightly elevated over prior year, but that's due to the HFF debt that we have taken on.
Jade Rahmani: Have you been in touch with ratings agencies at all? And do you believe the company will be able to maintain investment-grade status?
Stephanie Plaines: So we're in constant contact with the rating agencies as normal course of business, Jade, as you can imagine. And in that sense we're running the business accordingly monitoring and driving profitability, cash flow and making all the discretionary choices that are available to you. So we maintain a strong investment-grade balance sheet and that remains our focus. It's unchanged through the COVID pandemic.
Jade Rahmani: Okay. I wanted to ask about the two noncash charges. On the multifamily credit loss reserve, did you apply a through-cycle methodology so that this loss reserve pulls forward future losses that have yet to impact the multifamily market? So this loss reserve could be sufficient to cover say the next 1.5 years of potential loan defaults to the extent there are, or would you expect to be booking ongoing reserves on a quarterly basis?
Stephanie Plaines: Hi, Jade. This is Stephanie. So I think you said that right. So there's a $31 million noncash reserve versus of all and it's our expected view of those loan losses that's exactly related to only the COVID-19 pandemic. So it is the estimation of our future losses at this time.
Jade Rahmani: Okay. So that would be nonrecurring. In my modeling I've been assuming a gradual increase in delinquencies triggering loss reserves not a one-time charge.
Stephanie Plaines: So this is just our -- this is our expected view of the future losses for -- related to our multifamily exposure. We'll certainly reexamine it and all the factors throughout the year as we do a normal course of business. And if we need to make adjustments we'll do that at a further time.
Jade Rahmani: Thank you for taking the questions.
Operator: Your next question comes from Josh Lamers from William Blair. Your line is open.
Josh Lamers: Hi, good morning. Thank you. You touched on it a bit, but just in thinking about the FM contracts, probably more specifically the fixed-price FM contracts. Wondering what's the potential for any cost overruns in any of the regions and maybe specifically in EMEA? And then I also wanted to ask about the revenue runoff from the sale of the FM business in that region in the quarter, and whether it's similar to what you called out in the fourth quarter I just want to make sure I have my baseline for that business looking ahead. Thanks.
Christian Ulbrich: Josh, I'm taking the first part of the question, and the second part I will hand over to Stephanie. I'm not quite sure what you mean with cost overruns. I mean as you can imagine we are very, very proactively dealing with our clients and helping them through this crisis. And as I said those relationships tend to be very strategic relationships, very much on an partner basis. And whatever we do which goes beyond our contractual obligations we usually get paid for that and everything else is in line with our estimated cost to serve. So, I'm not quite sure whether there is any issue, which you are raising there.
Josh Lamers: Yeah. No, it was just in reference. You had mentioned in your prepared remarks, I think, that there was kind of a near-term increase in facilities cleaning preparation, an increase in engineering costs. And so the question was just related to whether or not you expect in fixed price contracts for there to be a higher than planned labor cost, which could negatively impact margins.
Christian Ulbrich: Okay, got it. And no, because when clients have in that contract that their facilities are being cleaned once a day and they move over two or three times a day, then they would pay for the additional cleaning requirements, which obviously we will pass-through to our sub-providers as we do not deliver the cleaning ourselves. But this hasn't been an issue over the last couple of weeks. If there's anything which has -- which we have been confronted with what that clients have asked us whether we could reduce sometimes the scope of contractual work within the contract, because premises were not used anymore. But that is of such a minimal scale that is offset by additional requirements by other clients.
Josh Lamers: Okay.
Stephanie Plaines: Okay. And Josh, I'll take the second part of your question about the European divestiture of our property asset management business. So I think in Q4, we mentioned that it had a $7 million impact on revenue. So for Q1, it's about $9 million. If you think about our PSM revenue growth rate, we had a decline in EMEA of 16%. If you adjust for that it would have a decline of about 8%.
Josh Lamers: No, that's helpful. Thanks. And then again, you mentioned a bit in your prepared remarks, but I'm wondering if the current environment creates the opportunity for expanded infill or redevelopment projects to pickup maybe later in the year and to remain at a sustainably higher rate. And then whether or not JLL has the capacity to take on those additional projects. And I'm just thinking again about kind of industrial retrofitting, office refitting, this kind of stuff in order to create a more spacious environment or to, like I said, reset any of these properties to operate in a post-COVID world.
Christian Ulbrich: Sure. I mean that is obviously one of the opportunities coming to us. We are already engaged with lots of our clients around the reopening of their space. And as you now, in Asia Pacific many spaces are already fully running again and we are starting to reopen now spaces in Europe again. So that is part of our services. We -- as we said, we have created 22 different products in our Corporate Solutions business around health and wellness space optimization and overall building and office operations, which we have launched over the last couple of weeks and our teams are very busy delivering that. And so, with all the negativity coming from the pandemic, there are obviously also business opportunities for companies like ours who have the capacity and the knowledge. And certainly the ability to move the experience, which we are making in Asia Pacific to the other regions and bring that best practice across to help companies to get back to productivity as quickly as possible.
Josh Lamers: Okay. Thank you. And then last one from me. I said that following the lockdowns in January in China that LaSalle had closed its first deal around mid-April. So have operations resumed in APAC to a somewhat normal course? And should we expect –again, best you can tell, but should we expect a similar time line in other reason -- in other regions?
Christian Ulbrich: First of all, operations have not resumed as to pre-crisis levels, not at all. If you talk about capital markets transactions, most of the capital markets transactions which have been closed in late March or which have been closed in April or May are transactions which have been pre-negotiated pre-COVID. And so, the ability to really understand how the capital markets business on the investment sales side will perform in a locked-down environment and shortly after this is still out there and we can't give you enough evidence on that yet. What you see in China at the moment, that there is a lot of interest to restart activities. The developers are coming back and they are looking for advice for new developments, because there's a lot of encouragement by the government to start new developments. And there is, obviously, also, discussions and interest around executing capital markets transactions. But what's most important is that buyers and sellers find a new kind of match-on-price expectations. I mean, there will be an impact on pricing and this is something which will take time until both sides feel comfortable with pricing again. And so, that will take a bit of time, a couple of months.
Josh Lamers: Okay. Thank you.
Operator: Your next question comes from Michael Funk from Bank of America. Your line is open.
Michael Funk: Yeah. Thank you very much. Good morning, everyone. I hope you're all doing well. A few if I could. Your earlier comments that you wouldn't compare the current situation to the global financial crisis, I would love to hear some more thoughts and some of the differences that you're seeing there and your expectations. And really what I'm trying -- what I'm getting at here is, obviously, visibility is low for everyone, you and us trying to model on Wall Street. And looking at your 2020 consensus EPS, it's about a $3.50 standard deviation. Now, I'm certainly contributing to that, being a low on The Street. But, once again, very little information for us, so any incremental thoughts you can give on the comparison with the GFC and kind of what you're seeing with the -- kind of with the step back in leasing and capital market activity would be helpful.
Christian Ulbrich: Well, again, the GFC, I can only repeat myself, was a lack of trust in the financial stability of banks. So what had to be done was to get that trust back into the market and then the economy was starting to develop again. Here we have a virus, which is affecting people personally. So what is needed is that people have their confidence that their health is not exposed. And, I guess, at the end of the day, for most people that would mean, they are waiting for the vaccine to feel really comfortable again. And we don't know when that will be delivered. And the big difference at that time was, every business was continuing to operate many people in a more muted fashion, but everybody was operating. We didn't have any lockdowns of buildings or anything like that. At the moment, we have still most of the countries we operate in, in a lockdown mode. And that is a massive difference. And therefore, it is very hard to make any comparisons between the two. I think we all have to be a little bit patient and see the real impact on the economy going forward. What I can assure you that, we are fully operational as an organization. So every client demand, which is out there, we can cover. There's all kinds of technology being used to help deliver deals on the leasing and on the capital markets side. When you look at the leasing side, you have the full spectrum of renewals. I mean, renewals will happen anyway, because people will have to renew space. They may take a little bit less, but they will renew their space, in principle. So that piece will continue. And then usually kind of the strategic deals. And if I had decided that I want to move my -- a major location into a different location, those deal tend to continue. They will be slowed, but they tend to continue. What is mainly impacted, for the time being, is kind of the smaller things. Companies planned for taking additional floor, additional 10% of space. They kind of push that out, because they want to see how the economy is developing. But anything which is strategic tends to happen, but slightly belated. That is on the leasing side. On the capital markets side, as I said earlier, there is still the need to find the new kind of matching price between buyers and sellers. It's not that nothing is happening. Obviously, there are transactions happening, but at a much lower rate than we would have seen before the COVID crisis. And so, that will take time until people have the confidence that they think that this is the right price to buy or to sell.
Michael Funk: Understood. I appreciate the additional commentary and also understand this to paraphrase more of a demand shock this time than the GFC. I just kind of stepped down the income statement a little bit. Can you please frame -- how's about the incremental margin in the business? So for every dollar coming out of the top line, how much of that’s going to translate, do you believe, into EBITDA?
Stephanie Plaines: So, we don't see a difference versus the GFC and to the situation we're in, on how things translate through our business. So in terms of our most profitable business lines is our capital markets and leasing businesses. And we balance the portfolio with LaSalle and our Corporate Solutions. So there hasn't been a fundamental shift in that regard. All the businesses are driving profitable growth and margin expansion. I think you can see that in the past quarter's results. Additionally, what we're obviously very focused on and continued to be laser-focused on particularly during the pandemic crisis is on cash conversion. So making sure that we're being very prudent and thoughtful in getting our DSOs and DPOs to convert continuing to convert exactly so that we can manage this cash flow through this pandemic crisis.
Michael Funk: And one more if I could please and I really appreciate the time today. You mentioned renewals, obviously, a large part of your leasing business. Maybe just remind me first of all what percentage of revenue each quarter comes from renewals? And then second are you seeing customers reach out proactively asking about blend and extend in the current environment, or is it too early for that right now?
Christian Ulbrich: There is obviously, what you call blend and extend quite a bit. Because if you really don't know where the economy is moving and what that does to your business there are a lot of clients who need to make a decision on their lease contracts who are just trying to kind of push that out and ask for 12 months or 24 months renewal before they make a longer-term commitment. And so that is happening. I don't have any statistic at hand how much of that is part of our portfolio or our revenues which we are bringing in on the leasing side. The renewal business is obviously slightly different market-by-market. You have markets where there is very little fees coming to us for just renewals. And you have markets where the fee levels for renewals are very similar to the fee levels for any new contract. But I think it's fair to say generally speaking a brand-new contract is more profitable for us than just renewal business.
Michael Funk: Okay. Thank you all for time today and hope you are all well.
Operator: Your next question comes from Patrick O'Shaughnessy from Raymond James. Your line is open. 
Patrick O'Shaughnessy: Hey. Good morning. How much of your fee-based expense base is naturally going to be variable and then fluctuate along with revenues that might move up or down?
Stephanie Plaines: Hi., Patrick. So that is a difference between the GFC and now that our business has certainly become even more oriented towards variable and flexing to your question. So as we've grown the business in the leasing and the capital markets space that gives us obviously that flexibility. So when the business is good, obviously, it works on the business as obviously, a softening then our comp base our fixed and variable comp base reflect that. So we don't give details on that specifically. But you can see in our financials on the P&L that we've made a lot of progress continuing in Q1 to improve our comp-and-ben expense as a percentage of our total fee revenue growth. And so we've actually improved that 200 basis points year-on-year if you compare. So revenue is certainly outpacing the comp-and-ben expense. And we'll continue to obviously, utilize the way that our business model is structured throughout the pandemic period.
Patrick O'Shaughnessy: Okay. I think that not paying that June dividend saves you guys roughly $25 million in cash. Given the relatively modest cash savings and generally negative investor perceptions that typically stem from dividend reductions can you walk through your rationale on this a bit more?
Christian Ulbrich: Well, Patrick. First of all, we don't have many people in our stock who are in our stock because of our dividend. Our dividend was in percentage terms very small. And as I said earlier while we are in a very strong financial position the economic and societal challenge the world is facing is just unprecedented. And we strongly believe that all leading companies have to be mindful about their actions. And we believe that for us paying a dividend would not be the right message with regards to all our stakeholders. You're right that the $25 million to take your number is not very material for us but when you see how people are suffering across the countries where we do business in it is not sending the right message.
Patrick O'Shaughnessy: Okay. And then last one from me. Any initial thoughts on what COVID-19 means for the industry? And is it still a viable business model do you think in the post-COVID-19 world?
Christian Ulbrich: Well, I guess, you're talking about the flex space industry and co-working is an element of the flex space industry and it's very important to make that differentiation. Because when you talk about flex space, the flexibility which has been offered by that is obviously something which people will value even more going forward. If you are currently in a situation, where you want to reopen your offices, none of those offices will reopen at full capacity, because you will need more space for everybody to kind of keep the social distancing rules in place. And so you either keep a majority of your employees out of the office or you are starting to enhance your office footprint by picking up some flex space. So there is an element of the flex space industry, which will probably once we are starting to reopen businesses and once the economy is starting to pick up, we'll actually have a great business going forward. Now the co-working piece was a different element because co-working usually means that you have people sitting next to you which you don't know when that may change during the day several times. And so what was very cool before may not feel that safe and healthy going forward and so that will certainly see an impact. So a lot of those players who positioned themselves predominantly as co-working players will probably position themselves going forward more as flex space providers. And so let's see how that is playing out for the time being. The demand for space from those companies has obviously dropped very significantly. But I am quite optimistic that overall industry has a role to play but they will have to adjust their business model to deliver that confidence, that trust which all the users of space, whether it's your own space or whether it's flex space are looking for to feel comfortable in that environment.
Patrick O'Shaughnessy: Appreciate it. Thank you.
Operator: And your final question today comes from Jade Rahmani from KBW. Your line is open.
Jade Rahmani: Thank you very much. In terms of business resiliency, I just wanted to ask if you could comment on leasing, if you expect leasing ordinary course renewals to continue to take place. If those contracts can be executed without any in-person presence. And secondly on debt placement, if you expect ordinary course debt maturities which total for the industry around $350 billion per year to be able to get refinanced. And finally valuation appraisal, if that can also be done via desktop?
Christian Ulbrich: Yes. Okay. I take all three of those. As I said, renewals will take place. It's not an issue to do renewals and so that is continuing. On the debt side, for the time being, as you probably will know better than I do, the debt markets are pretty healthy. There was a bit of a kind of a little stumble at the beginning but now everything is pretty much back in line. We even see CMBS coming back in. So we – at the moment we have no reason to believe that these renewals will not take place. Obviously, once we see pricing to readjust that may mean that that kind of the leverage ratios are changing for some of these deals. But there is a market for all of it. And so we will see that as part of our business in capital markets going forward, which is probably even more resilient than plain investment sales over the next one or two quarters. And the last one on valuation. I think in valuations you have to be very precise. All these monthly or quarterly or half annual or annual valuation, they can all be done desktop. So they will continue and we see a very, very strong demand for those. I mean, it's even in those times you usually have a higher demand because the question on who is delivering the valuation becomes of higher importance in more challenging time than in brilliant times and that usually favors JLL. Where we will see an impact on valuations is kind of one-off transaction less valuations. If there are less transactions then there is less need for valuation. And so it depends a little bit on the business mix country-by-country. We have some countries in our portfolio, who have actually growth in their valuation business and we have other countries who see the impact of less transactions happening. But overall, this is a pretty stable business for us.
Jade Rahmani: Thank you very much.
Operator: There are no further questions at this time. I'll turn the call back over to the presenters.
Christian Ulbrich: Thank you. Well with no further questions, we will close today's call. Thank you for participating. Stephanie and I look forward to speaking to you again following the second quarter. Stay well. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.